Operator: Okay. Hello, everyone, and welcome to Zoom's Q4 FY '24 Earnings Webinar. As a reminder, today's webinar is being recorded. And now, I would like to hand things over to Tom McCallum, Head of Investor Relations.
Tom McCallum: Thank you, David. Hello, everyone, and welcome to Zoom's earnings video webinar for the fourth quarter and full fiscal year 2024. I'm joined today by Zoom's Founder and CEO, Eric Yuan; and Zoom's CFO, Kelly Steckelberg. Our earnings press release was issued today after the market closed and may be downloaded from the Investor Relations page at investors.zoom.us. Also on this page, you'll be able to find a copy of today's prepared remarks and a slide deck with financial highlights that along with our earnings release include a reconciliation of GAAP to non-GAAP financial results. During this call, we will make forward-looking statements, including statements regarding our financial outlook for the first quarter and full fiscal year 2025; our expectations regarding financial and business trends; impacts from the macroeconomic environment, our market position, opportunities, go-to-market initiatives, growth strategy and business aspirations; and product initiatives and the expected benefits of such initiatives. These statements are only predictions that are based on what we believe today, and actual results may differ materially. These forward-looking statements are subject to the risks and other factors that could affect our performance and financial results, which we discuss in detail in our filings with the SEC, including our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. Zoom assumes no obligation to update any forward-looking statements we may make on today's webinar. And with that, let me turn the discussion over to Eric.
Eric Yuan: Hey. Thank you, Tom. Thank you everyone for joining us today. In FY ‘24, we made a tremendous amount of progress towards our mission of one platform delivering limitless human connection. As Generative AI began to take the world by storm, we listened carefully to customers in order to deliver AI that can best serve their needs, with innovation that is responsible, empowering, and built from the ground up in a way that permeates and unifies our entire platform. Zoom AI Companion, our generative AI assistant, empowers customers and employees with enhanced productivity, team effectiveness, and skills. Since, its launch only five months ago, we expanded AI Companion to six Zoom products, all included at no additional cost to licensed users. But we are far from done. Our future roadmap for AI is 100% guided by driving customer value. We are hard at work developing new AI capabilities to help customers achieve their unique business objectives and we'll have more to share in a month at Enterprise Connect. We hope to see you all there. Our expanding Contact Center suite is a unified, AI first solution that offers tremendous value to companies of all sizes seeking to strengthen customer relationships and deliver better outcomes. The base product includes AI Companion and our newly launched tiered pricing allows customers to add specialized CX capabilities such as AI Expert Assist, workforce management, quality management, virtual agent, and omnichannel support. Bolstered by its expanding features, our Contact Center suite is beginning to win in head-to-head competition with legacy incumbents. Beyond that, it is competing on its own merits with customers completely new to Zoom, broadening the funnel to the Zoom platform. As Zoom becomes a full workplace solution, we are seeing customers migrate from other chat products onto Zoom Team Chat, very excited. Over the past year, Zoom Team Chat usage has increased 130% across our paid accounts. And our migration tool, designed to simplify the transition, has seen a 4x increase in downloads in the last six months. Customers across industries are moving to Zoom Team Chat including a global supply chain leader, who has migrated over 1,200 users, a major law firm who has migrated 1,500 users, and a financial payments leader, who has moved over 2,000 users. Customers appreciate the improved user experiences and enhanced collaboration driven by our Zoom Team Chat product as well as the cost efficiencies realized by consolidating their communications and collaboration solutions onto Zoom. Last April, we acquired Workvivo and its integration into the Zoom interface has strengthened its market position. In Q4, we upsold a Fortune 10 company and long standing Zoom customer on Workvivo, making it Workvivo's biggest customer to date. And on the flipside, we also saw a global bank, who started as a Workvivo customer, adopt the broader Zoom platform. As you can see, adding new products both organically and inorganically creates a virtuous cycle, allowing us to sell more product into a larger base. We were very pleased to see Workvivo recognized as a leader by Magic Quadrant in its first report on Intranet Packaged Solutions. Similarly, Zoom Revenue Accelerator was recognized as a Strong Performer in The Forrester Wave in its first year of being covered, an amazing testament to its value as a powerful AI-enabled tool driving value for sales teams. FY ‘24 was a difficult year from a macro perspective and we faced those challenges head on. We became more disciplined and focused, while continuing to prioritize growth opportunities. As a result, we are much better positioned than we were one year ago. Our platform moat is deeper, our contact center offering is more robust, and our go-to-market teams are primed with defined goals and sharpened expertise to drive growth and empower our customers. Now, let's talk about some of our amazing customers. First, I'm so excited to welcome Broadcom, a global infrastructure technology leader, to the Zoom family. Recognizing the simplicity and ease of use of our expanding platform, they opted for the Zoom One Enterprise bundle to modernize the way they communicate and collaborate. Let me also thank Diageo, a leading global beverage company, for doubling down on Zoom. Seeing strong value from their existing Meetings, Phone and Rooms deployment, in Q4, they expanded to Zoom Contact Center and Zoom Virtual Agent. Let me also thank Community Financial Credit Union, a full-service financial cooperative, for investing in our broad Zoom One platform. They have chosen to modernize member engagement with Zoom Contact Center. Community Financial chose Zoom because of our one platform, video-first approach to solving all their communications needs. Zoom's integrations with key banking solutions through our APIs and partnerships were core to their decision making process. Finally, let me thank Convera, the World's FX payments leader. Zoom Phone was the foundation of their Zoom engagement and from there, they adopted the wider Zoom One platform in less than two years. Seeing the benefits of the tight integration of our products underpinned by AI Companion, they recently began to deeply leverage Zoom Team Chat in order to streamline their pre, during and post-meeting communication all within the Zoom Platform. Everything we do here is rooted in our culture of delivering happiness. This is why our employees, this is why the customer employees, this is why employees even more than IT departments are our biggest champions. And of course, happy employees are the most productive, so choosing Zoom becomes a win for everyone. We are laser-focused on our mission and could not be more optimistic about our future. The best is yet to come. And with that, I'll pass it over to Kelly. Thank you.
Kelly Steckelberg: Thank you, Eric, and hello, everyone. Let me start with a few of the financial highlights for FY ‘24. We were pleased with our strong finish to the year with Enterprise Revenue growing 9%, and free cash flow up 24%. We also achieved a non-GAAP operating margin of 39.2%, up 326 basis points from 35.9% in FY ‘23. In Q4, we saw traction in our emerging products, including a nearly 3x increase in Zoom Contact Center licenses as we not only added a significant number of new customers but also expanded average deal size. Zoom Phone customers with 10,000 or more seats grew 27% year-over-year to 95. And Zoom AI Companion has grown tremendously in just five months with over 510,000 accounts enabled and 7.2 million meeting summaries created as of the close of FY ‘24. We are excited about the strong growth across these new products and the benefits they drive for our customers. Now, let's dive into the financial results. In Q4, total revenue came in at $1.146 billion, up 3% year-over-year. This result was approximately $16 million above the high end of our guidance. Our Enterprise revenue grew 5% year-over-year and represented 58% of total revenue, up from 57% a year ago. We continued to see improvement in Online Average Monthly Churn, which decreased to 3% from 3.4% in Q4 of FY ‘23. This is consistent with the previous quarter and the lowest churn we have ever reported. The number of Enterprise customers grew 3% year-over-year to approximately 220,400. Our trailing 12-month net dollar expansion rate for Enterprise customers in Q4 came in at 101%. We saw 10% year-over-year growth in the up-market as we ended the quarter with 3,810 customers contributing more than $100,000 in trailing 12-month revenue. These customers represented 30% of revenue, up from 28% in Q4 of FY ’23. Our Americas revenue grew 4% year-over-year, while EMEA was flat and APAC declined by 3%. The international performance was partially due to the FX headwinds in APAC as well as the impact from our sales reorganization in early FY ‘24 that took longer to complete internationally than domestically. Moving to our non-GAAP results, which exclude stock-based compensation expense and associated payroll taxes, acquisition-related expenses, net gains or losses on strategic investments, income tax benefits from discrete activities, and all associated tax effects. Non-GAAP gross margin in Q4 was 79.2%, which was slightly lower than 79.8% in Q4 of last year, mainly due to our investment in AI Companion. In FY ‘25, we expect our gross margin to be approximately 79%, reflecting focused investments in our AI features. Over the course of FY ‘25, we expect to directionally improve gross margin towards our long-term target of 80% as we continue to optimize our data center strategy and grow some of our higher ASP products like Zoom Contact Center. Non-GAAP income from operations grew by 10% year-over-year to $444 million, exceeding the high end of our guidance of $414 million. This translates to a 38.7% non-GAAP operating margin for Q4, an improvement from 36.2% in Q4 of last year. Non-GAAP diluted net income per share in Q4 was $1.42, on approximately 313 million non-GAAP diluted weighted average shares outstanding. This result was $0.27 above the high end of our guidance and $0.20 higher than Q4 of last year. Turning to the balance sheet. Deferred revenue at the end of the period was $1.27 billion, down approximately 3% from Q4 of last year. This was roughly 3 percentage points better than the high end of the range we provided last quarter. For Q1, we expect deferred revenue to be down 4% to 5% year-over-year. Looking at both our billed and unbilled contracts, our RPO increased 4% year-over-year to approximately $3.57 billion. We expect to recognize approximately 58% of the total RPO as revenue over the next 12 months, as compared to 56% in Q4 of last year. Operating cash flow in the quarter grew 66% year-over-year to $351 million. Free cash flow grew 81% year-over-year to $333 million. The sharp increase in our cash flow metrics was due to stronger collections, targeted expense management and higher interest income. Our operating cash flow and free cash flow margins expanded to 30.6% and 29%, respectively. We ended the quarter with approximately $7 billion in cash, cash equivalents, and marketable securities, excluding restricted cash. Turning to guidance. As we consider our view for Q1 and FY ‘25, we have not assumed any changes in the macroeconomic outlook. For Q1, we expect revenue to be approximately $1.125 billion. This incorporates two fewer days in Q1 and would represent approximately 1.8% year-over-year growth. We expect non-GAAP operating income to be in the range of $410 million to $415 million. Our outlook for non-GAAP earnings per share is $1.18 to $1.20 based on approximately 316 million shares outstanding. For the full year of FY ‘25, we expect revenue to be approximately $4.6 billion, which represents approximately 1.6% year-over-year growth. We expect Q2 to be the low point from a year-over-year growth perspective and to accelerate from there. We expect our non-GAAP operating income to be in the range of $1.72 billion to $1.73 billion representing an operating margin of approximately 37.5%. Our outlook for non-GAAP earnings per share for FY ‘25 is $4.85 to $4.88, based on approximately 321 million shares outstanding. For FY ‘25, we expect free cash flow to be in the range of $1.44 billion to $1.48 billion. We believe that our strong cash flow generation and financial discipline coupled with responsible capital allocation is a powerful combination. As indicated in our earnings press release today, our board has authorized a $1.5 billion share repurchase program that we will start executing this quarter. This not only underscores the confidence our board and management team have in the future of Zoom, but also allows us to leverage our strong profitability, cash flow and balance sheet to drive shareholder returns, while also allowing us the flexibility to consider M&A options to accelerate growth and deliver for our customers. As a note, the share count and EPS metrics in our guide do not account for the impacts from this repurchase program. To echo what Eric said, we are optimistic about where we are now and where we are going. Our competitive position, innovation engine, and customer base set us up for success in FY ‘25 and beyond. Thank you to the entire Zoom team, our customers, our community, and our investors for your trust and support. Before closing, I would like to thank just one more person for their support over the years. Our head of IR, Tom McCallum has decided to retire this Summer after a seasoned 25-year IR career. Tom, it's been an honor and a pleasure to work with you. You have contributed tremendously to Zoom's success since before our IPO and will be dearly missed. Thank you so much for all you have done and congratulations. I am pleased to announce that Charles Eveslage, who has worked with Tom and me for several years now, will assume the role. With Charles at the helm, we are confident that the investment community will continue to receive a high level of service from Zoom's IR team. Please hold your goodbyes for Tom for now as he will be with us until mid-year to ensure a smooth transition. With that, David, please queue up the first question.
Operator: Thank you, Kelly. As Kelly mentioned, we will now move into the Q&A session. When I call your name, please turn on your video and unmute. As a reminder, in an effort to hear from everyone please limit yourself to one question. And our first question comes from William Power with Baird.
William Power: Okay. Great. Thanks. I guess -- well, Kelly said to hold this for Tom, but Tom wanted to say thank you for your help over the years. Kelly, maybe to kick it off with you, as we look at guidance, maybe just talk about what's providing confidence of the year-over-year growth should trough in Q2 if I heard you right? How do we think about the key drivers then to perhaps accelerate year-over-year growth in the back-half of the year and perhaps into fiscal '26 and how do we think about that trajectory over the ensuing 18 months maybe as we get past that.
Kelly Steckelberg: Yeah. So when you think about your coming down in Q2, but then accelerating in the back half. This is the culmination of what we've been talking about for a while, which is the growth being driven by Zoom Phone, by Zoom Contact Center, which we've seen continue to mature by the effect that AI and adoption of Team Chat are having on the overall retention metrics of the company. So, all of those factors are what gives us that confidence that we're going to see it come down in Q2, but then start to reaccelerate after that. And then I mean, it's very early to comment on FY '26, but that would be an indicator that exit-rate for FY '25 would be an indicator for FY '26.
William Power: Okay. Thank you.
Operator: Thank you. Our next question comes from Meta Marshall with Morgan Stanley.
Kelly Steckelberg: Hi, Meta.
Meta Marshall: Thanks. Just wanted to ask maybe just in terms of, on the deferred revenue in the past quarter, you mentioned that deferred revenue would kind of be down this quarter or we saw it come down. And just wondering, last quarter you talked about the terms that you were seeing, people extending their deals come in a little bit, just any trends that you're seeing just in terms of renewals. And what you're kind of seeing in terms of renewal there in terms of products that they're adding but just also maybe term compression, they might be seeing. Thanks.
Kelly Steckelberg: So, we've continued to see strength in renewals are, huge thanks to our renewals team in Q4 actually did an amazing job of exceeding their target, which was great to see. And what we have seen is the continued trend of our customers wanting shorter payment terms, they're hanging on to their cash. Remember, we talked about this in Q3, but that's really what contributes to the decrease in deferred. And then the other thing is the timing of renewals. We are seeing customers not necessarily wait to their renewal period to start these discussions. For example, I renewed -- I reviewed a proposal today for a customer that's not going to renew for six months. So, customers are really thinking ahead about their contracts and being very thoughtful about this. And what that does, it creates some variability in both the RPO and the deferred, because it's very sensitive to the timing of these things.
Meta Marshall: Great. Thank you.
Operator: Thank you. Our next question comes from Ethan Bruck from Wolfe Research.
Ethan Bruck: Hey, guys. Congrats on these results, and I'm asking a question on behalf of Alex here.
Kelly Steckelberg: Hi, Ethan.
Ethan Bruck: So. I guess my question would just be a little bit back on the guidance for fiscal '25, just if you can give some puts and takes, I know you said you're not factoring macro improvement. But how should we think about both the enterprise and online piece, I know you guys are rolling out some pricing increases. So maybe how to factor that going into numbers for next year. And just also the NRR piece, maybe roughly when you're expecting that to trough, Is there any color on that would be great?
Kelly Steckelberg: Yeah. So in terms of the enterprise of the direct sales organization, we kind of touched on this in the prepared remarks, but they're off to a fast start this year, we're really excited about that. If you remember last year, we had not only the overall reduction in the company, but the sales reorganization, which took a lot of time for the organization to recover from frankly and so, seeing them well-positioned to start off this year strong is really exciting to see. And that's certainly going to contribute to the overall growth that we're expecting to see, especially in the back half of the year. And then from an online perspective, really pleased for example with the Q3 churn metric. I think considering that we typically see seasonally higher churn in Q2 and Q4, that churn rate falling from Q3 to Q4 at that lowest rate of 3.0 is really indicative of all the improvements that the team has made to the platform, the ongoing initiatives they put in place. And so all of those considerations is what gives us confidence around the FY '25 guide.
Ethan Bruck: Got it. That makes sense. Just a quick follow-up is just around some of the AI, like you are successfully embedding it across the platform. I'm just curious, as we think about kind of the monetization angles over the next few years. I mean if you were to stack rank where you think the combination of moving users to higher SKUs matching price-value, you guys are obviously already doing or getting folks to adopt more products on the upsell side in the contact center, for example, curious how you guys are thinking about that right now.
Eric Yuan: I can take it. So -- and we're monetizing on many fronts. You look at our Zoom AI Companion, right, so first of all. for our existing customers because they all like the value we created to generate a meeting summary, meeting query and so and so forth, because of that we do really do not -- customers they are trying to review the cost. That's why we do not charge customers for those features. However, a lot of areas we can monetize, in order to take our AI Companion for an example, enterprise customers, how to leverage enterprise customer directionally a sure source data and also to build the -- tailor the Zoom AI Companion for those customers sort of like a customized Zoom AI Companion and we can monetize. And also look at all those services and maybe I'll just take a contact center for example, we're offering Zoom Virtual Agent and that's the one we have to monetize and recently, we announced three tears in our Zoom Contact Center product. The last one is a per agent and per month, we charge $149, the reason why? There are few features, one of the feature is Zoom Expert Assist. But all of those features are empowered by AI features, not to mention, we're also going to build new services and are driven by Zoom AI Companion as well. I think this year, I mean we're going to be doubling down on Zoom AI Companion customization and also focus on monetization. That's our effort.
Ethan Bruck: Got it. Thank you, guys, and congrats on the results.
Eric Yuan: Appreciate it. Say hello to Alex.
Operator: Our next question comes from Tyler Radke with Citi.
Tyler Radke: Thank you for taking the question and apologies for the quality, I'm in transit at the moment. Wanted to ask you about the recently announced buyback $1.5 billion is impressive, 7% of your shares outstanding. But, I guess how did you kind of come up with that number, and does that signal anything about the size of potential M&A that you're hoping to do, anything that you can just share in terms of why now, and the decision process would be helpful. Thank you.
Kelly Steckelberg: Yeah. So, we've talked about this many times in the past, every quarter we have this discussion about capital allocation with our Board, of course, with Eric, and with $7 billion sitting on our balance sheet today and the strength of our cash flow outlook for FY '25, we feel confident that having an authorization in place does not preclude us and still provides us plenty of flexibility to do M&A transactions that we might see as exciting in the future. And we continue to look for any opportunities that make sense to bring another organization to the Zoom portfolio. And we were targeting an amount that would approximately offset potentially most of the dilution for FY '25 and that's how we were thinking about it. Of course, you did that quick calculation and math but there's always variability in the execution of these programs and we will be looking -- the way that we execute it is we set an approximate amount, we want to acquire every single quarter. So we'll be evaluating this as we move through the year this year.
Operator: Okay. Our next question comes from Tom Blakey from KeyBanc.
Tom Blakey: Thanks everyone. Good to see you, Eric, and Kelly and congratulations on the, I'll say, early retirement, Tom. Just point of clarification first, Kelly, on I think Meta was asking about 2Q in the guide. And you mentioned something about being that, were you implying just point of clarification that fiscal 2Q would be down quarter-on-quarter from fiscal 1Q?
Kelly Steckelberg: We're saying that the year-over-year growth rate in Q2 will decline as compared to the year-over-year growth rate in Q1. Yes, it will be positive. It won't be -- It's not going to go negative based on our current outlook, but it will be lower than the year-over-year growth rate in Q1.
Tom Blakey: Sorry for the handholding there.
Kelly S. Steckelberg: No, it's okay.
Tom Blakey: My key question would be on CCaaS, it sounds like you're off to a great start. There's a lot of demand out there. Hearing from your peers. I'd love to just give you the opportunity to talk about pricing, uptake of some of the Virtual Agent, Agent Assist functionality and maybe any type of what you've baked into fiscal '25 in terms of visibility here as you come out very strong here in the fourth-quarter -- in the fiscal '25. Thank you.
Kelly Steckelberg: Eric, do you want to talk about the Contact Center in general for a minute first?
Eric Yuan: Sure, absolutely. I think Tom you may not know actually, recently I got a new job here at Zoom, I become the Contact Center General Manager of the product management team engineers and our go-to-market team, sales, marketing, they all reporting to me directly. That means huge opportunity ahead of us, why I want to wear another ahead of GM of Contact Center. Seriously, but anyway, so based on customer feedback, very, very positive. We're doing extremely well in every quarter, and Q4 number is amazing and plus the reason why we have confidence introduced like three tiers of pricing, because a lot of customers told us, right. They probably needed a basic contact solutions. The $69 per agent, very competitive, all of the features, or if they want some social channel maybe outbound dialer, they can pay another $30 more per agent. And for a huge enterprise customer want to buy 1,000 agents, and we give them Zoom export Assist and also Workforce Management and Employee Management all of the features, you can see Zoom has become a full suite of Contact Center offering. We can compete head-to-head to the legacy incumbents. I'll give one example, in Zoom, we internally we deployed our Virtual Agent, guess what, every month, we saved 400,000 agent hours. And more than 90% inbound inquiries can be done by our Virtual Agent driven by the AI technology, I'm very excited about everything we're doing. And the feedback are very positive. Again we're going to be doubling down, tripling down on our Contact Center offering because that's a modern solution, AI empowered video first and also we build a full suite. That's why we're so excited.
Kelly Steckelberg: Based on your enthusiasm, Eric, I am going to raise your quota.
Eric Yuan: Yeah. I raise the quota to the system every day. So, there's no difference, so.
Tom Blakey: And Kelly, look what kind of outlook, are you baking in terms of the strength there and the visibility commentary about fiscal '25 and then is that -- this is just enterprise right now, right. This is that no self-service online here, right?
Kelly Steckelberg: Correct.
Eric Yuan: Not yet, but -- yeah, you're right on. See, thank you for helping us to monetize Contact Center in other ways.
Kelly Steckelberg: Yeah. So, Tom, we looked at the trends that we've been seeing the number of customers, the growth rate, the size of the deals, which have been expanding over the last several quarters. And just -- and of course, sales capacity and taking all of that in consideration, including the new pricing tiers. That's how we built our outlook for FY '25.
Tom Blakey: Thank you.
Kelly Steckelberg: Yeah.
Operator: Okay. Thank you. Our next question comes from James Fish with Piper Sandler.
James Fish: Hey, guys. Thanks for the question here. Tom, congrats on the announcement and Eric, good luck with the increased quota from Kelly now. Kelly, just going back to a couple of questions ago, on how to think about the quantitative approach here on past or future price increases on the guide for this year? And for Eric, what's causing customers to move over to the Zoom chat function and off your main competitor like Teams, just further consolidation on the one platform or is it AI Companion playing a larger role here, especially as you guys are concluding it as opposed to $30, $35 a month. Thanks guys.
Eric Yuan: Kelly, you want to take the first one.
Kelly Steckelberg: No, You go ahead. You go ahead first.
Eric Yuan: Sure. So James one thing I think we did not do well, as I mentioned even before is, we did not do well on marketing front. A lot of customers, users, they do not know Zoom has a greater presence in Team Chat functionality at no additional cost. And it works is extremely well. All the key features any other competitor's product they have also have that as well. Very well-integrated with Zoom product. And a plus as new side, you also right on customers they see using their Chat solution, they want to use AI. Let's see, I send you -- James, I send you a message, I want to leverage AI, send a long message, however, if you use the other solutions sometimes other solutions itself even with all AI is not free, right. And in our case, not only our core functionalities, but also AI Companion built in also at no additional cost. I can use it for any users, customers, you already have a meeting license, Zoom Team Chat is already built in, all of the core features, you can use Zoom AI Companion and also let AI write a chat message and as so on and so forth, it works well at no additional cost. The total cost of ownership of a Zoom Team Chat is much better than any other team-tailored solutions and also we built in a native client, not like some other competitors, the web-based client, sometimes like I am using Mac and performance so on and so forth is really not good in [indiscernible] experience. That's the reason why more and more customers, they discovered Zoom team share capabilities, wow, why not move to Zoom platform, they give the Team Chat functionalities at no additional cost, right. That's the reason why we have confidence. I hope more and more customers are going to move to a Zoom Team Chat and will also built a very seamless migration tool as well to have a customer migrate to Zoom Team Chat.
Kelly Steckelberg: Thank you, Eric. In terms of the price increases, James, so certainly be online price increases that we talked about last call, and they were implemented in Q4 are in all of our forward-looking guidance. And then the renewals team as they're talking to our customer about renewals where there are opportunities for price increases, we've seen those trends over the last few quarters have been doing that and that would also show up in the pipeline that the team has out there. So in that context, it's also been considered.
Eric Yuan: Yeah. By the way, James and all, all the analysts that are here. If you are logging with the Zoom client, my email address and we can create a Zoom Team Chat group, and let's get a first-hand experience, how powerful it is. So it's very easy.
Kelly Steckelberg: You can have one-on-one access to Eric, James. [Multiple Speakers]
James Fish: Sounds good, Eric, don't worry. I won't annoy you too much.
Eric Yuan: Awesome. Thank you, James.
Operator: Thank you. Our next question comes from Matthew VanVliet with BTIG.
Matthew VanVliet: Hey, good afternoon, and thanks for taking my question. I guess one more on the Contact Center. Curious in terms of how the mix is maybe different with channel involvement and partners being involved in those deals over the last couple of months as you really invested in the channel program. And then secondarily, what is the mix of I guess, the contact center sales into existing customers especially existing Zoom Phone customers, is that any different than the early days of Zoom Phone in terms of mix? Thanks.
Eric Yuan: Yeah. So, Kelly, feel free to chime in. I think for the core meeting product, by and large is directly driven and Zoom Phone is mix via direct and channel driven. You look at it as Contact Center product, for sure we have a Zoom Contact under specialist here, but I think primarily driven by a lot of, and very well-established third-party agents, right and those are channel partners for they already have great relationships. We have to invest into that area. So, this is the reason why a lot of deals are brought to us by those channel partners, some of them even never used it and they are not Zoom Meeting customers, but also they have become the first Zoom Contact Center customers. So that's kind of a channel and also the Zoom Contact Center specialist. Also at the same time, because Zoom Phone and Zoom Contact Center are integrated very well and also we're training all those Zoom Phone specialists also o become Zoom Contact Center specialists, right, to further help our work internal net sales capacity as well and I think that overall and you look at the revenue trajectory and Kelly, correct me if I'm wrong, is very similar to our Zoom Phone. And hopefully, after I become GM, maybe we can build that as well, so -- and anyway, so that's where we are now, so.
Kelly Steckelberg: The only thing that I would add to that is, that we're very excited, we hired Chris Morrissey in November. He is a veteran in this space. So really excited to have his talents here at Zoom. And then one other thing to note, which has been interesting about Contact Center is we actually have seen customers -- new customers coming for Zoom Contact Center. So it's also an opportunity to start to bring, expose the platform to new prospects and customers as they're really excited about this really modern technology that we have in Zoom Contact Center.
Matthew VanVliet: Okay. Thank you.
Eric Yuan: Yeah. By the way, Chris reports to me directly, he came from NICE, inContact.
Matthew VanVliet: All right. Great. Thanks.
Eric Yuan: Thank you.
Operator: Thank you. Our next question comes from Siti Panigrahi with Mizuho.
Kelly Steckelberg: Hi Siti.
Siti Panigrahi: Thanks for taking my [Technical Difficulty] So I wanted other growth driver you have, phone. From the phone side, so help us understand, like what's your penetration right now within the installed base on the phone side. And any update in terms of whether a number of states or revenue you have by end of this fiscal year.
Kelly Steckelberg: Yeah. So we are really excited about the ongoing strength and growth in Zoom Phone. The -- in terms of the opportunity ahead even internally, the penetration rate for deal attach is still under, I think, 20%. So, that just highlights, there is also a greenfield even within our existing Zoom customer base and the metric that we gave this quarter was that customers with greater than 10,000 seats increased 11% year-over-year, or 27% -- sorry 11% quarter-over-quarter, 27% year-over-year to 95. So, seeing lots of strength in that high-end of the customer base, which we're really excited about and we didn't give a seat count metric this quarter, it's probably something that we'll do in the next quarter or two.
Siti Panigrahi: Thank you.
Operator: Yeah. Okay. Thank you. Our next question comes from Arjun Bhatia with William Blair.
Arjun Bhatia: Eric, thank you. Maybe going back to the Contact Center piece and trying to loop in the AI Expert Assist side, when you're when you're seeing customers come in, are they adopting the premium tiers off the bat and do you have a sense of whether the usage of Expert Assist is picking up as a result or is this something that we should think of as a future upsell driver as customers kind of land maybe at the low-end, and then expand over time.
Eric Yuan: Yeah. That's a good question. The reason why we introduced the multi-tiers in Contact Center because if we really look at it from a cost perspective, each customer has reported a dip in the demands or requirements and sometimes they do not care about social media channel, right. And they just need core functionalities, right. Just a few 100 assist and then migrate from other cloud-based upon contact center solution really do not need a Workforce Management or Quality Management, right. That's the reason why we have three tiers now, right. And quite often follow the SMB customer. I think that Zoom Contact Center essentials is good enough, right and we talk with customers with more than 1,000 agents, for sure they would like to have those AI Expert Assist and our Workforce Management or Quality Management and so on so forth, right. That's the reason why because in customer demand, we have multiple tiers and our Contact Center specialists and also partners -- channel partners, working together, right. Based on customer demand, we offer different tiers. We might introduce more in the future. We do not know, but again we look at everything from customer perspective, that's the reason why based on those multi-tier packages, you can see that, with demand coming from every segment, SMB customers, lot of enterprise customers and it's very healthy, so.
Kelly Steckelberg: And just further to what Eric said, the packages are off to a really great start. We've had approximately 3,700 licenses sold in those upper tiers and the ASP for those is double what our existing ASP was before we introduced those additional tiers. So it really shows you how this is going to not only address the broader market, but also accelerate our revenue growth here.
Eric Yuan: Yeah. It used to be a little bit over 50 now it is 100, this is great result, so.
Arjun Bhatia: Great to hear. Awesome. Thank you.
Eric Yuan: Thank you.
Operator: Okay. Our next question comes from Imtiaz Koujalgi with Wedbush.
Kelly Steckelberg: Hi, Imtiaz.
Imtiaz Koujalgi: Hi. How are you? Thanks for taking my question. I've a question on the guide for next year. Kelly, how do we think about the breakdown between enterprise growth and online for next year, should we see online start growing year-over-year in '25?
Kelly Steckelberg: Yeah. We aren't going to give specific guidance for the segments. But we're really focused on continuing to have stabilization in the online segment, what you saw happen again this quarter is actually both quarter -- both segments were slightly up in Q4, which was great to see and really focusing on the initiatives to drive basically stabilization is how I would think about for FY '25 and the online segment.
Imtiaz Koujalgi: Got it. Thanks. And then one follow-up for Eric. Eric, you mentioned increasing deal sizes for Contact Center. Can you compare when a customer buys Zoom Phone and buys Zoom Contact Center, are the deal sizes a lot different or similar because the ASP is a lot higher for Contact Center, but I'm guessing the seat count is lower. How does the seat -- the deal values compare between Phone and Contact Center.
Eric Yuan: I think it's good question. I think for sure I do not think and compare that with Zoom Phone as Zoom Contact Center as and when we started normally is hey have a lot of cost, but the average deal size is relatively small. Now you see the average size of a deal is bigger -- greater and greater, right, this is much better than before. And from that perspective, it's very different in comparison for Zoom Phone. That's the reason why you look at it our Zoom and the three package, right. And earlier the package is behind, I think is $49 per user per month -- per agent per month, it is much bigger than Zoom Phone, right. That's the reason why I think in terms of pricing it is very different. We see that more and more medium and large customers adopt Zoom Contact Center, you can see the average deal size is much bigger and we do not [Technical Difficulty] number of the sales, number of customers but focus on the size of customers, that's very healthy.
Imtiaz Koujalgi: Thank you.
Eric Yuan: Thank you.
Operator: Okay. Our next question comes from Matthew Bullock with Bank of America.
Matthew Bullock: Hi, Eric, and Kelly. Thanks for the question. I'll be asking one -- we have a microphone today regarding Zoom's progress and roadmap for Contact Center product development. Can you provide an update on the company's near-term priorities in terms of functionality improvement. And then the longer term where is the company's focus to better position the offering for large-scale enterprise deployments? Thanks.
Eric Yuan: Yes. Great. So first of all, I want to tell you from architecture perspective, we are ready already for bigger, very, very big aligning with customers in terms of number of concrete agents, and we did a test, it works well. For now, but just focus on the future set. Again, we already have lots of features, most of the customers they can deploy Zoom Contact Center without any problem either migrate from legacy contact center solutions providers or migrated from the other cloud solution providers. In terms of new features, I think in next few quarters, like one big feature is PCI compliance, right. We need to support that. And also how to support channel partners, right, and also all of those features, may not be the core features but also like PCI compliance and also the support of the channel partners, right. All of those features, sort of like enterprise-related. So, and we're also working on that and also some like Workforce Management and Quality Management further enhance that and also add a lot of AI features as well. I think, as you can see, in the core feature set already is there, we just need to add a few here and there and I think we are almost 100% ready. Like even for social media channel we already support and the other -- like in the social media channel, how to support more the channels like WhatsApp, right. How to add a WhatsApp there. It is just some corner feature here and is there in the next few quarters. And that's team working very hard on that.
Matthew Bullock: So, super helpful. Thank you.
Matthew Bullock: Appreciate it. Thank you.
Operator: Okay. Our next question comes from Mark Murphy with J.P. Morgan. Mark, are you there? Okay, will move ahead, it's alright.
Kelly Steckelberg: [Multiple Speakers] Excuse me, he just came off mute, there you go.
Eric Yuan: Hi, Mark.
Unidentified Participant: Sorry about that. This is [indiscernible] on for Mark Murphy. Thanks for taking the question and congrats on all the milestones. You mentioned in your prepared remarks about how AI Companion is into your Contact Center suite of solutions. In our discussions with industry contacts, those sort of applications for gen AI have been pretty scaled -- pretty strong and a lot of customer interest. Are you guys seeing a similar pattern with the customers, is that an area where you're seeing kind of an outsized interest to utilization of AI tool? Thanks.
Eric S. Yuan: Yes. I think it's very similar. I mean, you look at a Zoom meeting product, customers discovered the Zoom AI Companion to help you with a meeting summary and after they discover that feature, and they would like to adopt that. Contact Center is exactly same thing. And like Virtual Agent, Zoom Expert Assist, those are AI features, manager can understand what's going on in real time and also agent can leverage AI to get real time knowledge base and any update about these customers. All these AI features can dramatically improve the agent efficiency, right, that's the reason why it's kind of we're not take a much longer time for those agents to realize the value of AI features, because it is kind of very easy to use and I think the most adopting, I feel like Carnegie Center AI adopt rate probably faster than the other features, so called services.
Unidentified Participant: Thank you very much.
Eric Yuan: Thank you.
Operator: Okay. Our next question comes from Matthew Harrigan with Benchmark.
Matthew Harrigan: I'm sorry, I actually wasn't -- I didn't have my hand up. But since you asked, do you have any thoughts on the relative macro strength you're seeing in different markets pacific rim, Japan obviously, Buffett was just extolling the virtues of Japan, it is an investment area right now, Europe, U.S., etc. Thank you.
Kelly Steckelberg: Yeah. We agree, we see Japan as certainly a very important market for us and it is a core focus for FY '25 is reinvesting and reinvigorating our go-to-market teams in both EMEA and APAC. We have new leadership in some of those markets and are really excited again about the quick start the teams being in market and we're ready to go and look forward to great things from them this year.
Matthew Harrigan: I'm very facile of that mute button, since I was even expecting being called on, so I probably -- I should get brownie points for that.
Eric Yuan: Thank you.
Kelly Steckelberg: Good job. Good to see you, Matthew. Thank you.
Matthew Harrigan: Thanks.
Operator: Thank you. Our next question comes from Peter Weed with Bernstein.
Peter Weed: Thank you very much. I really appreciate all the detail and it's obviously pretty exciting news to see all the expansion opportunities going on with the enterprise customers, along with kind of maybe a fore coming in with the Online customer groups. I guess two follow-ups, got around the enterprise customers. I don't think you commented on how churn is evolving with those customers. And obviously, with continued tailing NRR. I'm trying to unpack what portion of that coming from churn versus what portion of that is coming from the kind of continued refresh cycle you have with like long-tenured customers that are still coming down on seats. And then the second part is kind of you look through on that NRR and you're talking about some acceleration going on later this year and I think that's starting to mixed in and customers that no longer those long tenure that has seats coming down and it's really being replaced by those that expansion is really in functionality is coming in. If you look at those customers that are kind of past their seat readjustment how expansive are those customers that we can maybe, look forward to out a year or so being a greater portion of the mix.
Kelly Steckelberg: Yeah. So it's a really good point here. So we've talked about this a few times, but in FY '24, we know -- we saw that the majority of our customers had a renewal event. So they had the opportunity to work with us as they needed to potentially right size their seat count. Again, our renewals team has done an amazing job of taking the opportunity to talk to them about the opportunity to upgrade to Zoom One, to potentially add-in Zoom Phone or additional products. So, maintaining that spend. So we've seen some shifting around in terms of the overall portfolio, but really focused on maintaining that spend, and what that does is it really situates us very well as those customers start to grow again that the customers are now sitting in different SKUs that potentially are more retentive. And also at a higher price point, honestly, that they can grow into. As they start adding seats again, we do see there's going to be a much lower percentage of our customers that are up for renewal this year that didn't have a renewal event last year. So, we've seen again the majority of our customers, if they had something to work through in terms of rightsizing, we've seen the majority of them had the opportunity to do that in FY '24, so we expect that to have a much lower impact in FY '25.
Peter Weed: And the churn side of it. How much of the roll-off and NRR is because churn has gone up or is it continuing to be what it has always been on the enterprise side pretty stable?
Kelly Steckelberg: It's been pretty stable. We did -- we've talked about, these customers that we're rightsizing. You saw -- given the reduction that we saw across our customer base and you saw generally in organizations last year there was some impact for that, but the churn rate themselves have been pretty stable. And you remember that our net RR number is a trailing 12-month metric. So you're likely going to see a little more decline in that metric before it starts to reaccelerate again along with our revenue that we're expecting to see at the back half of this year.
Peter Weed: Thank you. I appreciate it.
Kelly Steckelberg: Yeah.
Operator: Yeah. Okay. Thank you. Our next question comes from Shelby Seyrafi with FBN Securities.
Shelby Seyrafi: Yeah. Thank you very much. So adjusted for the two fewer days in Q1, you're guiding for a 3.6% -- 4% growth in Q1 and for the year, you're guiding for about 1.5% growth. I know you are bottoming Q2 but it seems like with a reasonable projection still going to be like 2% growth roughly half the 4% growth in Q1 in the back half of the year, you're going to have these new products ramping, the Phone, the Contact Center, AI, etc. I'm trying to understand why you don't expect an adjusted revenue growth acceleration in the back half instead of the implied deceleration, I get in my model.
Kelly Steckelberg: Yeah. We do -- we are guiding to 1.8% in Q1. So that's the outlook that we're giving. If you're backing into something different, but the guidance that we're giving is a reminder is 1.8% and then 1.6% for the full year, with the decline that we're expecting from a year-over-year growth perspective in Q2.
Shelby Seyrafi: Let me be clear, but Q1 has a 1.8% hit from the two fewer days. So adjusted for that is 3.6% growth in Q1, right. So apples-to-apples 3.6 goes down something like 1 or 2 in the back half of the year and you have new products ramping in the back half of the year. So, I am trying to [Multiple Speakers] on that.
Kelly Steckelberg: Yeah. So as I mentioned in the prepared remarks, we are not assuming any improvement in the overall macroeconomic outlook and/or changes significantly in terms of our international contribution. So all of that combined, we're taking what we believe to be an appropriately prudent outlook for the year.
Shelby Seyrafi: Okay. Thanks.
Operator: Okay. Our next question comes from Catharine Trebnick with Rosenblatt Securities.
Catharine Trebnick: Hi. Thanks for taking my question. Much appreciate it.
Kelly Steckelberg: Hi, Catharine.
Catharine Trebnick: So back to the Contact Center, to beat a dead horse, it seems like there is this -- a lot of the Information I gathered was there's a big push for light contact centers and it seems that Zoom fits it quite well with your pricing model. And when I say light, I mean those are non-agents versus agents. So, we've like a split for the quarter that you were willing to share that would be agent versus non-agent. I'm just trying to get a good handle on that growth outside the traditional agents for a license because there seems to be a good opportunity there.
Eric Yuan: I think direction-wise, you're still right. And on the one hand for the real human agent they still need a modern contact center solution while working hard on that to replace legacy vendor solutions or other cloud-based solutions. On the other hand and if it is more and more demand I think on the customers, they are not going a human agent anymore, right. can have a virtual agent. I think that is the reason we also sell Zoom Virtual Agent as well. I think maybe in the next few quarters and maybe ready to disclose that, for now I do not think we are ready to disclose that number, but we focus on both side and either you do not have more agent, you can have the AI. This is good or you can buy agents, that's okay too. So -- and that's our plan.
Catharine Trebnick: All right. Thank you.
Eric Yuan: Thank you.
Operator: Okay. Our next question comes from Peter Levine with Evercore.
Peter Levine: Well, great, thanks for squeezing me. And I'll just give you a quick. Kelly, your comments on M&A, can you share with us what you're thinking in terms of inorganic contributions, but what area would you consider is at CCaaS, is it like workflow optimization, you have got collaboration, but any sense on kind of where you're thinking or how you're thinking about adding to the portfolio. Thank you.
Kelly Steckelberg: Yeah. We've been exploring opportunities actually across all of those areas, Peter, we look for opportunities to either accelerate what we already have, which would obviously be in the CCaaS space and a good example is, what we did in the past with Solvvy around our Zoom Virtual Agent product or something that sits a little bit next to it which Workvivo is a great example of that as well. So we're continuing to look in areas both within our current portfolio as well as around us with things like productivity tools. That's how we're thinking about. Eric, is there anything you want to add?
Eric Yuan: Yeah. You're just right on, just either technology-driven or just expand on the cap[ph] or maybe double down on our existing services. Pretty much those three things. We're interested in all three.
Peter Levine: Thank you.
Eric Yuan: Appreciate it. Thank you.
Operator: Okay. We only have time for one more question and that comes from George Iwanyc with Oppenheimer.
George Iwanyc: Thanks for taking me. Kelly, maybe expanding on your comments on the sales side and the reorg, how do you feel about your productivity in North America and internationally, and when you look at investing this year, where are you putting the most effort?
Kelly Steckelberg: Yeah. So you saw in our results for Q3 and Q4 that we had reacceleration and sales productivity in the back half of FY '24, and again, off to a really fast start for FY '25. So excited about that. We are investing in both direct and channel on a global basis, as it's really important that we keep fueling the growth driver that we have here in North America, but also reinvesting and reinvigorating our international markets as well.
George Iwanyc: All right. Thank you.
Operator: Okay. Thank you, everyone. This concludes our Q&A and. I would now like to pass things back to Eric for closing comments.
Eric Yuan: Well, thank you all for your support and thank you all for your time. Really appreciate it. And see you next quarter. Thank you.
Operator: Again, this concludes today's release. We thank you all for your participation -- from our family to yours. Thank you.